Operator: Good morning, everyone and welcome to eHealth Inc's Conference Call to discuss the Company's third quarter 2021 financial results. At this time, all participants have been placed in a listen-only mode. The floor will be open for your questions following the presentation. It is now my pleasure to turn the floor over to Eli Newbrun-Mintz, Investor Relations Manager, please go ahead.
Eli Newbrun-Mintz: Good morning and thank you all for joining us today, either by phone or by webcast for discussion about eHealth Inc's third quarter 2021 financial results. On the call this morning, we will have Francis Soistman, eHealth's Chief Executive Officer, and Christine Janofsky (ph) eHealth's Chief Financial Officer.  After management completes its remarks, we will open the lines for questions. As a reminder, today's conference call is being recorded and webcast from the Investor Relations section of our website. A replay of the call will be available on our website following the call.  We will be making forward-looking statements on this call that includes statements regarding future events, beliefs, and expectations, including statements relating to our expectations regarding our Medicare business, including Medicare enrollments, consumer demand, our competitive advantage, and market opportunities.  Our expectations regarding the health insurance distribution industry, including current trends. Our investments in our e-commerce and call center capabilities, quality initiatives and technology. And the expected impact of these investments on our business.  Our expectations regarding our individual and family business and growth opportunities, our ability to increase agent productivity and improve customer satisfaction, retention, and other quality metrics, our expectations regarding our online enrollments, member acquisition costs, and lifetime values, our expectations regarding our business strategy and financial performance, including the profitability of our business, cash flows, conversion rates, customer retention, seasonality, lifetime values, member estimates, and operating expenses, and our full-year 2021 financial guidance.  Forward-looking statements on this call represent eHealth’s views as of today. You should not rely on these statements as representing our views in the future. We undertake no obligation or duty to update information contained in these forward-looking statements, whether as a result of new information, future events, or otherwise.  Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected in our forward-looking statements. We describe these and other risks and uncertainties in our annual report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission, which you may access through the SEC website or from the Investor Relations section of our website.  We will be presenting certain financial measures on this call that are considered non-GAAP under SEC Regulation G. For reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure, please refer to the information included in our press release and in our SEC filings, which can be found in the About Us section of our corporate website under the heading Investor Relations. At this point, I will turn the call over to Fran Soistman.
Francis Soistman: Thanks, Eli. Good morning to everyone joining us today as we report our third quarter 2021 financial results. As you know, I became CEO of eHealth just one week ago today. I've received a warm welcome from our very talented employees, and I look forward to working together in the years ahead. Before I review our financial and operating results for the quarter, I want to take a few minutes to introduce myself, and share why I'm excited and energized to be leading eHealth.  As a bit of background on me, I've spent nearly 40 years in the healthcare industry including serving as President of Government Services for Aetna, pre and post-acquisition by CVS Health, where I was responsible for leading the strategic execution, and profitable growth plans for Aetna 's Medicare, Medicaid, individual and public exchange, and federal employee's health benefit businesses.  While there, I built and led a team that achieved sustained accelerated revenue and earnings growth, coupled with strong stars rating in compliance performance, among many other accomplishments. Prior to my time at Aetna, I served in executive leadership positions across a number of healthcare’s and managed care companies, including Coventry Healthcare, Principal Healthcare, and CareFirst BlueCross BlueShield in Maryland.  Before I share comments on our third quarter performance and fourth quarter outlook, I want to acknowledge my predecessor, Scott Flanders. Scott transformed eHealth during his tenure as CEO including important diversification of products by introducing and scaling Medicare Advantage and ancillary offerings to supplement our IFP capabilities.  This sets the stage for the creation of a highly effective digital Medicare distribution strategy. Scott’s leadership and contributions throughout the past 6 years have given eHealth a steadfast, differentiated foundation. Importantly, Scott assembled a talented management team with whom I've begun building strong relationships. I look forward to working with this team to develop strategic goals, execute our plans, and conquer our challenges.  I'd also note that having gone through similar leadership transitions before, this one has been a near textbook transition. As previously announced, Scott has agreed to stay on in a consulting role with the Company through the end of this year. I want to take this opportunity to introduce Christine Janofsky, our new Chief Financial Officer who joined eHealth in September. Christine brings more than 20 years of finance and insurance experience.  Most recently, serving as Senior Vice President, Chief Accounting Officer at Lincoln Financial Group. Since joining the organization, Christine and I are already off and running and I look forward to partnering with her to shape our strategic and financial direction for 2022 and beyond. You'll hear from her a bit later on the call today. I joined eHealth based on my deep appreciation for the Company's unique customer - centric platform, and a strong belief in the significant opportunities ahead of us.  We're harnessing powerful secular trends that when combined with refreshed strategic thinking and planning, followed by disciplined execution, will drive the Company's growth and value creation. Among the positive secular trends are an expanding Medicare population that continues to enjoy a long runway, continued momentum and popularity of the Medicare Advantage program, and the increasing number and complexity of Medicare plans.  Consumers across all demographic groups are increasingly favoring choice and the ability to comparison shop for impactful purchases. This increasingly applies to healthcare. In addition, our digital platform provides eHealth with a strong competitive advantage as seniors' adoption of the Internet for research, social interaction, shopping, and other daily needs is growing, and has been accelerated by the global COVID pandemic.  In short, I see our consumer - centric, omnichannel marketplace as the health insurance distribution model of the future, aligned with the evolving needs and preferences of our customers. Another important development is the heightened awareness and focus on beneficiary enrollment quality among our key carrier partners. Let me take a moment to define what I mean by enrollment quality.  Simply stated, it's ensuring that eHealth presents Medicare beneficiaries with choices that best align with their eligibility status, lifestyle, health conditions, and economic means, all with minimal disruption in existing provider relationships and prescription medications. In the end. eHealth wants to ensure that beneficiaries make an informed choice based on these criteria to establish the foundation for a healthy carrier-member relationship.  And it furthers their satisfaction, trust, and experience with eHealth. As with many aspects of business and our personal lives that underwent to significant changes due to the COVID-19 pandemic, the way Medicare Advantage products are marketed and distributed to seniors has also changed with more plans now being sold for telesales supported by licensed agents.  When a new product is introduced or a large shift and distribution channels occur, it is not uncommon for this change to be accompanied by compliance-related measures to guarantee that customers are receiving the same quality experience as with established distribution networks. CMS has always appropriately placed the best interest and safety of beneficiaries at the center of everything they do.  They expect their contracted carriers and distribution partners to do the same. As a downstream delegated entity, eHealth has the same obligations as our carrier partners. We fully accept these responsibilities, and believe broker performance will be increasingly evaluated on customer satisfaction, retention, and other quality metrics in addition to volumes. The sector-wide movement provides an opportunity for eHealth to take a leadership position, establishing or omnichannel distribution platform as the gold standard for customer experience within the sector.  While there are upfront costs and a near-term impact on enrollment volumes that I will address shortly, we believe that this trend will change the competitive landscape in our space and creates significant competitive advantages for digital brokers that successfully work with carriers on attaining quality goals.  I recognize that I'm transitioning into the CEO role here at eHealth at a critical point, the evolution of the Medicare distribution industry. I plan to leverage my multi-decades long experience in healthcare and managed care to further strengthen our relationships with carrier partners, improve data flow between parties, and maximize the lifetime value of enrollments we deliver. My initial focus as CEO is on our execution in the annual enrollment period.  The 10 weeks of AEP are a critical time when we operate at our peak capacity in call center utilization and generate a large portion of our total annual Medicare enrollments and revenues. While a lot of preparation occurs in the weeks and months prior to the enrollment season, the execution during AEP is critical. We are monitoring the effectiveness of our diversified marketing programs and the performance of our telesales organization daily.  And we're making course corrections in real-time. And we'll use this insight to improve our go-forward AEP strategy and execution. This year, a number of important initiatives and changes were implemented ahead of AEP. One common thread among them is our enhanced focus on enrollment quality.  Perhaps the most important change that took place operationally since last AEP involves our telesales organization. Earlier this year, we've made an aggressive pivot in our telesales channel to a model driven predominantly by in-house sales agents. We launched a major talent acquisition campaign, and have the largest class of full-time agents in our history, successfully recruited and on boarded.  We entered this AEP with more than 95% of our telesales capacity made up of internal agents, ahead of our initial goal of 90%. Second, we took a number of steps to further enhance consumer experience and enrollment quality on our platform. This includes the addition of an enrollment verification step for telephonic enrollments, as well as supplemental training for our agent force.  Third, we migrated our call center technology to a cloud-based contact center, which provides robust new capabilities to train agents, support them in their interactions with customers, and monitor their performance in real-time. Finally, we continuously evolve our lead generation capabilities. And this year we upgraded lead scoring and routing tools across all call centers.  Turning to our online capabilities, our digital platform, an important competitive differentiator for eHealth, continues to evolve and is attracting a growing number of Medicare customers. During the third quarter, the sum of online unassisted Medicare Advantage and Medicare Supplement submitted applications grew 58% compared to the same period in 2020.  We expect it to remain an important growth driver during this AEP, delivering MA enrollments with LTVs that historically have been 30% to 40% higher compared to telephonic sign-ups. Ahead of the AEP, we launched the next release of our recommendation engine to further improve the accuracy of personalized plan matching based on machine learning and leveraging data from hundreds of thousands of online customer interactions.  On the customer engagement side, our customer center tool continues to gain traction with more than 195,000 individuals creating accounts since it was launched in October of 2020. We continue to see this as a meaningful differentiator, allowing members who use customer center to connect more deeply with eHealth and ultimately retain at better rates.  We expect the combination of optimized plan matching and engagement with customer center to have a positive impact on customer satisfaction, with their plan selection and to result in higher member retention and recapturing on our platform. Demand for Medicare Advantage plans remain strong and eHealth is well-positioned to help seniors navigate an increasingly broad and complex range of plans.  This year, we prioritized our strategic partner and online channels as well as Company-driven direct mail initiatives that have been associated with higher quality, higher margin enrollments. Now turning to our third quarter financial results. Our third quarter Medicare enrollment volume and revenue were negatively impacted by the enrollment quality efforts we introduced during the quarter.  Specifically, we're seeing a reduction in our call center conversion rates in part due to the new quality measures that have been implemented. The decline in conversions was compounded by the impact of a large number of new sales agents trained and deployed during the third quarter, along with the recent migration to a new call center technology.  I want to emphasize that after we absorbed the near-term costs in conversion rate deterioration from these efforts, we expect them to drive greater retention and LTV s out of our enrollments in the longer term. We also expect that they will establish eHealth as a top-tier quality distribution channel for our carrier partners, setting a high bar for other major brokers.  We continue to collaborate with carriers to confirm that these new quality enhancements are working. I'm confident we've taken the right steps to put the customer experience and quality of enrollments at the center of what we do, and I believe we are establishing eHealth as the gold standard within the sector. Third quarter revenue was $63.9 million, a 32% year-over-year decline.  Our third quarter GAAP net loss was $53 million and our adjusted EBITDA was negative $55.2 million. Total Medicare approved applications declined 22% compared to Q3 a year ago, impacted by lower telesales conversion rates, while top of the funnel demand exceeded demand that we saw in Q3 2020.  Our online business continue to grow with unassisted online applications increasing more than 50% year-over-year for Medicare Advantage and Medicare Supplement plan enrollments combined. Conversion rates on our online platform increased compared to a year ago driven by improvements to the online user experience that we've implemented. Now I'd like to make some observations about our AEP execution to-date.  In the first 3 weeks of AEP we've seen solid consumer interest on our omnichannel platform. At the same time, our telephonic conversion rates, while showing a meaningful improvement compared to Q3, are behind our forecast. Given the extensive changes we've implemented to our telesales organization, our agents are taking times to adjust.  However, we remain confident that the sales proficiency of most of our call center sales agents increase with each beneficiary counter, every day, and every week. We expect this will result in our continuing to close the conversion gap, and place eHealth in a stronger position throughout the balance of the annual enrollment period, and into the Medicare Advantage open enrollment period.  While our online business continues to generate strong growth, it is not yet large enough to offset the underperformance of our call center operations. We are adjusting our 2021 financial outlook, including revised revenue range of $535 million to $575 million, a revised GAAP net loss range of $63 million to $43 million, and a revised adjusted EBITDA range of negative $20 million to break-even.  Christine will provide more color to our revised outlook in her comments later in the call. As I mentioned earlier, my focus as a CEO has been first and foremost on AEP execution. Simultaneously, I'm conducting a deeper review of eHealth's operations, financial performance, including cash flow simulations, current operating model, organizational structure, and strategic imperatives.  During the Q4 earnings call, I plan to share more about my assessment with the Company's foundation and direction, as well as highlights of our strategic plan for 2022. I've also observed that the mission-driven nature of this Company is very important to our employees. And I intend to stay true to the Company's core mission of connecting eHealth customers with quality, affordable health insurance options, and a mission that hasn't changed since eHealth's inception.  Through recent initiatives, we've heightened our focus on enrollment quality, and customer retention, and this will remain a critical component of our execution going forward. I see opportunities to increase our sales effectiveness by dedicating our call center agents to more defined geographies so that they can be even more responsive to consumers and provide deeper insights until available plan options.  I expect to be prepared to share more specifics with you during our Q4 '21 earnings call. Another opportunity area is to have our brand stand not only for carrier agnostic choice, but also to be increasingly seen as a trusted source or clearinghouse of relevant healthcare-related material to help consumers navigate the complex healthcare system.  I also believe there is an opportunity to broaden our platform beyond our current focus on sales and enrollment to encourage current prospective eHealth members to visit our website frequently. In my experience, this is critical to building loyalty and drawing consumers to our platform year-round rather than just during the enrollment periods. I also see the online business as a critically important component of eHealth's business model.  It's characterized by superior unit economics and quality metrics, while also appealing to the growing segment of the senior population that's comfortable and actually prefers to transact online. I expect to continue our focus in driving accelerated growth in our online enrollments. Our focus goes well beyond maintaining strong enrollment and revenue growth.  It's very clear to me that eHealth must demonstrate to our investors that we can generate strong EBITDA margins and produce positive cash flows in a shorter cycle. Though I've been in the CEO chair all of 6 days, I've been evaluating the business for the last few weeks and I believe there's a path to achieve all of these objectives.  We will get there through a combination of managed growth by controlling our rate of growth on a product specific basis through the most efficient distribution and marketing channels, and further diversification of products with particular emphasis on those that lend themselves to being sold online. At the same time, eHealth will be focusing on accelerating strategies aimed at increasing customer loyalty and reducing member churn.  My initial review of the business also has revealed potential for enhancing our performance through tighter alignment with our key carrier partners, stronger execution in our telesales environment, and further operational improvements including deeper integration of data analytics across all of our key operational areas. Medicare remains our core market.  However, with the resurgence and stabilization of the individual and family health insurance market, the time is right for eHealth to renew our focus in IFP to support the overarching objective of a balanced portfolio and positive EBITDA, and cash flows. Christine and I will also be revisiting our 5-year financial plan and expect to share our long-term targets with investors next year.  Before I turn the call over to Christine to review the quarter and our financial results in more detail, I want to emphasize how excited I am to be leading eHealth. Throughout my career, I've been guided by the goal of providing Americans with access to quality and affordable healthcare options while reducing the complexity of the healthcare system.  It is a privilege to join and lead a Company whose mission and values are closely aligned with mine. And I'm committed to lead eHealth in a direction that provides our shareholders with compelling reasons to remain confident in our Company. I will now turn the call over to Christine.
Christine Janofsky: Thank you Fran and good morning everybody. I am excited to be joining eHealth's leadership team at this critical juncture for the Company and the broader health insurance distribution industry. I share Fran's conviction that our core Medicare market presents a significant opportunity for generating sustainable, profitable growth and that eHealth tech-enabled and customer - centric approach gives us an advantage in driving towards market-leadership.  I look forward to getting to know eHealth's investors and sell-side analysts over the coming months. And now, let me review our third quarter financial results beginning with our Medicare business. Third quarter financial performance of our Medicare segment reflects our investment in AAP preparedness and the impact of our enrollment quality initiatives.  As Fran outlined, we believe these quality initiatives will have a significant positive impact on our competitive positioning and relationships with our carrier partners, and will over time drive customer satisfaction, better retention, and higher LTVs on our platform. However, these quality initiatives did have a negative impact on our call center conversion rates in the third quarter.  I will provide more color around our call center performance shortly, including our preliminary observations during the first weeks of the AEP. Third quarter Medicare revenue was $46.4 million, down 34% on a year-over-year basis. Medicare commission revenue was $42.5 million, or a decline of 17%, driven primarily by a 22% decline in our overall Medicare approved members.  Within our main Medicare Advantage product, approved members declined 18% to approximately 37,000. At the same time, lifetime values of our Medicare Advantage members increased 9% year-over-year to $975 primarily as a result of higher commission rates. Medicare advertising revenue declined to $4 Million from $19 million in Q3 of 2020.  This was partially driven by timing with $7 million of total advertising revenue shifting from Q3 to Q4. In addition, we believe that the nature of our sponsorship arrangements with carriers is evolving and will increasingly be driven by the quality of broker enrollments. Medicare segment loss was $52.9 million, compared to a loss of $14.1 million in Q3 of 2020.  We expected a larger Medicare segment loss this year in the third quarter, driven primarily by a large increase in customer care and enrollment costs as we had pivoted our telesales organization to a predominantly internal agent model and ramped up the hiring of our agent force approximately 8 to 10 weeks earlier than in 2020.  However, third quarter segment loss was wider than expected due primarily to agent reorientation toward our quality initiatives which resulted in lower conversion rate in the quarter as well as a year-over-year decline in high-margin sponsorship revenue. While we don't disclose actual conversion rates for competitive reasons, I'd like to comment on the trend in this metric year-to-date.  Our conversion rates improved during the first quarter of 2021 open enrollment period, growing 24% year-over-year. This reflected ramping down our vendor agents and focusing more on our tenured internal agent force that has historically performed at higher conversion rates compared to vendor agents. As we pivoted to a predominantly in-house agent model, we expected for the growth trend in conversions to carry into the second half of the year.  However, during the third quarter, our telephonic conversions declined over 30% compared to last year, reflecting the impact of enrollment quality initiative that we implemented. In addition, a larger percentage of our agent base was represented by new internal agents hired ahead of this AEP compared to a year ago, further depressing conversion.  As we entered AEP on October 15, conversion rates have increased compared to the third quarter, reflecting the typical seasonality of this metric. At the same time, rates continue to lag forecasted levels. We see our quality initiatives as the primary driver of conversion shortfall that has impacted both our new and tenured agents.  Our third quarter online conversion rates were well above last year's levels and our online Medicare business continues to deliver strong enrollment growth, both in Q3 and in the first month of Q4. Our estimated number of commission generating Medicare members was approximately $875,000 at the end of the third quarter or an increase of 19% with estimated Medicare Advantage membership, increasing 33% compared to a year ago.  Turning to our individual, family and small business segment. Third quarter revenue from this segment was $17.5 million, a 27% decline compared to a year ago driven primarily by lower IFP and ancillary net adjustment revenue of $10 million compared to $17.1 million in Q3 of 2020. Approved IFP members grew 88%, accompanied by another double-digit year-over-year increase in LTVs. Now, I'd like to review our third quarter operating expenses.  Q3 non-GAAP customer care and enrollment cost was $48.2 million, up 13%, and reflective of our investment in the internal agent force as we onboarded agents earlier in the year. Third quarter non-GAAP marketing spend was $41 million, up 30% year-over-year, reflecting lower enrollment volumes that were offset by higher marketing cost per approved member.  Third quarter non-GAAP G&A expense declined 4%, and non-GAAP tech and content expense grew 11% compared to Q3 of 2020, a significant deceleration in our fixed cost growth compared to the first half of the year. These non-GAAP operating expenses exclude the impact of stock-based compensation.  Third quarter operating cash flow was $-71 million, compared to $1.4 million in the year-ago quarter, reflecting wider net loss, as well as working capital dynamics this quarter, including an increase of approximately $16.7 million in use of cash, mostly related to prepaid expenses to fund certain AEP marketing campaigns earlier than last year, $19.8 million additional use of cash related to the timing of accounts payable, and a $17.2 million decline in source of cash from deferred revenue as carriers moved away from pre -funding fourth-quarter advertising.  Turning to our balance sheet. As of September 30, we had $227.7 million in cash, cash equivalents, and marketable securities. Our balance sheet also reflects significant commissions receivable, totaling $757.4 million that is comprised of $194.2 million that we expect to collect over the next 12 months, and $563.2 million in long-term commission’s receivable.  Within our earning slide, I want to highlight a few pages. On slide 10, you will see that cash collections on our MA cohorts enrolled in 2019 and earlier has now exceeded upfront acquisition cost and are cash positive. This is consistent with our expectations for payback of acquisition cost in approximately 2 years for the MA product.  These cohorts will continue to generate recurring commission streams as we collect renewal payments, with some members remaining on our platform for over 10 years based on historical observations. On Slide 11, we updated our analysis of trailing 12-month cash collections at our Medicare segment. Our Medicare cash collections grew 37% year-over-year outpacing our estimated membership growth.  In Q3, TTM cash collections per Medicare member of $465 grew 11% year-over-year, reflecting the favorable Medicare Advantage plan commission rate trend and growing contribution from new to MA members. Cash flow will be a key focus for this management team. As Fran and I are taking a close look at our operations and work on the short-term and longer-term business plan and forecast, we will be emphasizing strategic and operational decisions that can accelerate our path to becoming cash flow positive.  Turning to guidance. Given that our call center conversion rates are currently below our forecast, we feel that it is prudent to revise our 2021 annual guidance ranges despite the fact that the most important weeks of the AAP are still ahead of us. I will now provide the highlights of our revised guidance.  Please consult our earnings press release for the complete 2021 guidance information. Total revenue is now expected to be in the range of $535 million to $575 million compared to the prior range of $660 million to $700 million. Revenue from the Medicare segment is expected to be in the range of $471 million to $509 million compared to the prior range of $601 million to $639 million.  Revenue from the Individual, Family and Small Business segment is expected to be in the range of $64 million to $66 million compared to the prior range of $59 million to $61 million. We now expect GAAP net loss to be in the range of $63 million to $43 million compared to the prior range of GAAP net income of $42 million to $57 million.  Adjusted EBITDA is now expected to be in the range of negative $20 million to 0 compared to the prior range of $110 million to $125 million. Looking forward, we are taking proactive steps to enhance the consumer experience and enrollment quality on our platform. And there are many opportunities for eHealth ahead.  We remain committed to our mission of serving as a consumer advocate in the health insurance market and continue to believe that our tech-enabled customer - centric approach positions us well for growth and shareholder value creation. Fran and I are energized to be here to lead the Company into its next chapter. With that, I'd like to now open up the call for questions. Operator, please open the line.
Operator:  Our first question comes from George Sutton with Craig-Hallum.
George Sutton: First, welcome to Fran and Christine. Challenging day to start, but I wanted to walk through the logic of the fact that the top of the funnel actually increased pretty significantly so clearly your marketing is working, bringing people in. It was all the challenges below that. I wondered if you could just bifurcate the call center technology issue, the impact of the enrolment verification step; just trying to better understand what was missing in that equation.
Francis Soistman: George, good morning, it's Fran. Thank you for your welcome and thank you for your question. I'm going to go ahead and begin to answer that. Tim is here with me and Tim will supplement my response. You've asked an important question and it's kind of I think a straight answer and a complicated answer that goes with it. The volume, you're right. The volume at the top of the funnel is strong and it's something that we control, and then again, we don't control.  In other words, lead generation in terms of the activities that we can create through direct mail, TV streaming, and so forth creates a demand -- Pardon me -- and makes the phones ring. We also have to have capacity to answer those phones and that's through our sales agent. The combination of that then provides the opportunity to then convert those sales opportunities into sales.  The technology -- the cloud technology that we implemented earlier in the year is working largely fine. We haven't really had any difficulties, any glitches with the technology. So let me state that upfront. The quality enrolment activities that we began implementing early second quarter into the third quarter have been where the challenge exists in terms of confirming that the beneficiary is in a plan that they desire.  It has extended the talk times, which strains capacity; therefore, you don't necessarily on every single hour of the day, have the ability to answer all the calls that come in. So, therein lies part of the challenge. Plus, as we mentioned, we hired a whole new workforce. So the learning curve is another challenge, which I think continues to improve every day. So I'm very confident that that is not as much of the challenge today as it was, let’s says, 6 weeks ago or 8 weeks ago.  So, I believe that we have demonstrated our ability to create the demand through our marketing efforts and our carrier relationships. We have the ability to recruit agents and to retain those agents, and train them. But that's a lot of change that's occurred in a short period of time and I think that has put pressure on the results, which has led to this shortfall. I think it's important to point out that we're running ahead of the same period last year.  So there hasn't been a failure relative to where we were this time last year for the AEP. We're running about nearly 50% higher in our Medicare enrollments versus same period last year. We're just running well below our forecast. So our forecast was bold and that's what's led to us having to revise the guidance. So I just shared a lot with you. Let me ask Tim to fill in any gaps.
Timothy Hannan: Sure. I'll just echo everything that you said, Fran. I think it's a fair assessment. On the demand-generation side, one of the advantages of the new platform is it allows us to regulate where demand comes from in more real-time. And so, there are challenges that are seeing -- there are demand channels that are seeing challenges, but we're able to manage that much more dynamically than we could in the past and are doing so through Q3 and into AEP. The biggest driver really was the quality initiatives.  And it was driven by additional training for agents, booking them off the phones and reinforcing key messages, greater adherence to our script and then forcing that as they're selling. And then the verification process that we talked about, I think on the last call, where at the end of a call an additional agent would review and ensure the beneficiary understood everything that they were getting in their plan. And it was those changes more than anything else, the drove, and the change in performance.
George Sutton: If I could just ask one more thing. Fran, you coming with your history from Aetna, understanding the push-pull of third-party relationships versus in-house distribution. I wondered if you could just give us a little picture into what you see uniquely as the opportunity here. And I'm sort of designing this for folks who we're taking a longer term view on this opportunity. Thanks.
Francis Soistman: Thanks for that question, George. I really enjoyed my time in -- on the carrier side and it's been interesting already. Just in the first week I have reached out to a few of my carrier relationships. In fact, had a call as recent as Friday with one of our carrier partners and those carrier relationships are critically important. And I would say the state of the state of those relationships are good, and I intend to make them great.  And what I mean by that is to make sure that we are performing consistent with their expectations and needs consistently and while always in lock It's a really critically important partnership. They need an organization -- organizations like eHealth to meet their needs. Pretty much all the majors are building omnichannel distribution capabilities but they need that flex.  They need to ability to flex because they can't -- they don't want to have the sort of the fixed costs of having distribution capability like eHealth or our competitors. So -- but they also want to make sure that it's done in a manner that is consistent with CMS requirements in terms of the compliance and analyze some of the challenges over the past year. So our job is to get off the radar in that area in terms of the CPMs. And I'm quite confident we will do that.
Operator: Thank you. Our next question comes from Jailendra Singh with Credit Suisse.
Jailendra Singh: Thank you and good morning to everyone. So following up on these quality initiatives in factoring the conversion rate, extra training required, and brokers spending more time with the seniors. I'm trying to understand how much of this headwind is just temporary versus permanent? Are there some changes in the guideline from CMS or from insurers at these levels of conversion rates are here to stay? Just help us understand that.
Francis Soistman: Happy to do that. And good morning. And again, it's Fran, and I'll ask Tim to supplement. I believe, in large part, this is temporary. I believe that the conversion rates will continue to improve and I think we'll close the gap. And in fact, I think organizations that are committed to continuous quality improvement have to then exceed wherever the benchmark was at the time. So my expectation is that we're always going to get better.  And that our conversion rate's going to continuously improve. The timeline on that, I'm not going to commit to day six, but I will tell you that that's all done through your training efforts, making sure that you're hiring the right people in the first place because I think there is -- it's a very different kind of relationship dealing with the senior population.  I think that some people are better at that than others; in terms of being better listeners, having that empathetic mindset. And sometimes we get it right and sometimes we don't. So the other element of this is that our senior society is becoming more and more diverse, from a cultural perspective.  And we have to make sure that as we are building our distribution for the future, that our sales agents reflect the composition of our society for Medicare eligible as well, cultural requirements, language requirements, and do it exceptionally well. So I think that that will improve the conversion rate as well. So let me ask Tim to --
Timothy Hannan: Sure. Yeah, just as Fran said, these were pretty substantial changes that we implemented for our organization, and we saw the conversion rates decline dramatically over the course of their implementation. But what we've seen subsequent to that is their improvement. And so we have been steadily making progress, that is, people becoming more comfortable with the new process, more comfortable with how we want them to sell.  New agents getting more familiar and more experienced. And so that upward trajectory gives us confidence that these are temporary, that we can improve. I would also say we've been working in very close concert with our carrier partners and their call center operations.  And they've gone through similar transformations -- some of them have gone through similar transformations before and seen exactly that behavior where you end up actually converting better in the long run with a healthier book of business and better customer relationships, but that changing how you sell is difficult. And so we're continuing to watch for ways that we can drive that improvement, additional training, additional changes to our technology. And that will in form 2022 and beyond.
Jailendra Singh: Yes. Thanks. That makes sense. Quick follow-up around the comment Fran, you made about expanding eHealth business beyond Medicare commission business. I was wondering if you could flush out on the areas you see most opportunities. Some of your peers have talked about publishing health, medication management, various soft dollar arrangements. eHealth has been historically less focused on those items, just wondering if we should expect any near-term changes there.
Francis Soistman: Well, I'm going to keep you in suspense a little longer. What I believe is necessary is to look for opportunities where eHealth can become a trusted source of information that is relevant for, not just the senior population, but consumers in general for healthcare. Where there's an opportunity for them to visit our website frequently and therein lays that loyalty brand opportunity.  We have, I think, a great website and great online capabilities that I view as an engine that has tremendous horsepower that's not being utilized today as effectively as it could and should. And so my initial observations are how we put more of those horses to work. More to come on that.
Operator: Thank you. Our next question comes from Elizabeth Anderson with Evercore.
Elizabeth Anderson: Hi, guys. Thanks so much for the question this morning. I was wondering if you could talk a little bit more about the variables Medicare marketing costs in the quarter. Obviously they're up and if there's variable, one that seems that maybe the change in enrollment in the quarter wasn't necessarily the biggest driving factor there.  I know you mentioned that carriers are moving away from pre -funding some of the -- for to advertising. So I was just wondering if you could walk us through some of the components there.
Francis Soistman: Good morning, Elizabeth. It's Fran. I'm going to let Tim take that. We -- what I will say, before I turn it over to Tim is that one of my first observations when I arrived here was I was very impressed with the way our strategy was put together in terms of the ability to make course corrections, if you will literally by the day.  And in terms of how we deploy our lead gen dollars and -- so that if something's not working as we had intended, we could shut it down and move money elsewhere or not make the spend all together. So I'll let Tim expand on that.
Timothy Hannan: Sure. Thanks, Fran. When it comes to Q3 marketing expense, it's important to remember that we do a lot of experimentation in Q3, so there are different things that we test out in advance of the AEP to evaluate how effective they'll be to inform what our AEP marketing spends will be by channel. And so there's a little bit of that that drives up costs in the quarter.  But on a unit basis, the biggest driver of the cost is the conversion rate that we were seeing in the sale center. So for every dollar spent how many enrollments do we drive on the marketing side, is in part driven by how effective the agents are that take the calls.  So on a unit basis; it was driven more significantly by the conversion rates we were seeing in the call center. A little bit of it is a shift more towards online, where we have higher marketing costs, and that will probably continue to be something that we'll see going forward. And then a little bit was also that experimentation that we do in a quarter.
Elizabeth Anderson: That's super helpful. I was wondering, can you -- are you going to just share any commentary about the relative LTV is in the quarter, or perhaps just more generally about the different channels whether assisted online, unassisted, telephonic and any  there for the remainder of the year.
Francis Soistman: It's Fran; I'll let Christine make some comments on the relative LTVs, if we can get to your question. Christine?
Christine Janofsky: Thank you, Fran. Thank you, Elizabeth, for the question. As we think about our Medicare LTV, certainly in the third quarter, we've seen an increase primarily driven by the higher commission rates and an increase in the contribution that we've seen to total enrollments from our new to Medicare Advantage. So with -- from a historical perspective, we've seen that increase, we expect that to continue -- that continued trend as well. Does that answer your question, Elizabeth?
Operator: Actually I left the queue. Our next question comes from Steven Halper from Barclays.
Steven Halper: Hi, thanks. Good morning, everybody. Just a couple of questions here. First, regarding the new telesales reps. You just kind of touched on this a little bit, but I'm curious if there's any metrics you can share. What eHealth's expectations were for placements per telephonic rep during the AEP? Why that metric is trending out now.  Either -- about raw numbers, maybe just percent there. We could probably do the math just given the day it has been provided, but maybe you could just provide some color and save us some time if you got any additional numeric color around that. And then I have a follow-up. After the answer to that question. Thanks.
Francis Soistman: Good morning, Steven. It's Fran and Tim is going to give you a quick answer on that one.
Steven Halper: Sure.
Timothy Hannan: Yes. So we don't provide the expected enrollments per rep by cohort or in general. But what we do watch internally is their level of productivity driven both by how many calls they're able to take, how efficient they are with their time, and then their conversion rates. And what we're watching is how the newer classes performed relative to more tenured agents.  And I can tell you that the progression of our new agents in relationship to our tenured agents is on track. The issue that -- the larger issue that we're seeing around these -- the quality initiatives have sort of lowered the water level across the board. But in terms of how our new agents are progressing, it's as we would expect.
Steven Halper: Okay. One quick follow-up here just on the line of questioning regarding how much of this pressure might be temporary versus something of a longer-term. Just to throw this question out there.  Is there any dynamic where either the training or the current performance of the new reps is potentially less dynamic that's happening in a work from home environment or is this the majority of the reps all in one call center together where there's some synergy where they're learning from each other, etc. because we've seen some of your competitors leverage that dynamic. I'm curious if you have any color just on your setup around all that.
Francis Soistman: Steven, its Fran. All of our sales agents are working from home, so we have not returned to a work environment across the country as of yet. But what I can tell you is that the ability to measure metrics for each of our sales agents, and for that matter, most of our workforce, in terms of productivity is -- there's high levels of confidence, so that's not a concern. Both quantitatively as well as qualitatively, because calls are recorded.  So we have the ability to identify whether a call when -- as it should have gone from a qualitative perspective and either give that person a pat on the back for handling a call professionally and doing it with great grace, or if they didn't handle a call well, to intervene with some immediate training reinforcement. So the fact that we're not back into an onsite call center environment, hasn't been a detriment.
Steven Halper: Okay. Okay. That's helpful . Thank you.
Operator: Our next question comes from Frank Morgan with RBC Capital Markets.
Frank Morgan: Good morning. I wanted to go back. You made some comments about some expectations around changes; I think you said tighter alignment with your carrier partners. Just curious if you could provide some more color there. And I'm just curious -- their attitude. Obviously CMS, some of these recent marketing directives, I suppose, are reflecting some concerns on the part of CMS. But what is that relationship like with carriers? Are they seeing the same frustration that seems like maybe CMS is also starting to express? Thanks.
Francis Soistman: Good morning, Frank and thank you for your question. I think that the relationship really is aligned to how they're performing relative to the CTMs, and recognizing that these are omni-channel distribution organization. So CTMs are coming from multiple channels and not just one channel. So you never know what ultimately triggers CMS's concerns, but it's not necessarily driven exclusively from one channel.  I think it's fair to say that with the pandemic, there has been a shift from selling across the  and the process has been around for about 15 years and it hasn't changed since it was rolled out in terms of how it operates. It is by no means perfect. There's no judge and jury kind of process, it simply provides beneficiaries an opportunity to lodge a complaint. And there isn't a determination whether that complaint has merit.  Sometimes -- and the range of seriousness can be different too. Obviously it's different if someone is complaining that they were misled, versus they didn't like the tone of the agent, which can be very subjective. The more serious the allegation then there can be an investigation and that's they can be -- they should be taken with great seriousness. So it's not a perfect system.  And every CTM counts the same irrespective of what the nature of it is and as I said, if there isn't a kind of a due process, if you will. So And I'm sharing that with you because it does play a big role in the relationship, as does volume, the ability to produce the amount of sales activity consistent with expectation.  So relationships are always the best when sales volume exceeds expectations and CTMs are below expectations; it's a great marriage. So I would say that -- and I'm still making my way around through all of our carrier partners for that very purpose to level set. So I'm not -- I'm in no way in a position to give you a state of the state of our carrier relationships with first-hand knowledge, meaning I'm hearing it directly from them.  But I'm -- I have started the process and it's a very important process. Those Relationships are -- they are dynamic because the needs change throughout the course of the year and over the years. And I want to make sure that eHealth is always in lockstep with what our carrier partners need.
Frank Morgan: Okay, thank you.
Operator: Our next question comes from Daniel Grosslight with Citi.
Daniel Grosslight: Hey guys, thank you for taking the question, I guess I'll stick on the theme of increased CMS scrutiny. Medicare average digitizing declined 15 million this year, as you mentioned about -- a little less than half of that is shifting from Q3 to Q4. But I'm curious how much of the declining advertising is due to increased CMS scrutiny on Medicare advertising.  And do you anticipate another decline in total for this AEP? And then in a similar vein it sounds like the top of the funnel was pretty strong for you guys. But did you see any detriment and lead generation due to this increased scrutiny from CMS? Thanks.
Francis Soistman: Good morning, Daniel, it's Fran. I'll go ahead and start and then ask Tim to supplement. Let me say up front that CMS has been incredibly reasonable about the advertising situation. There has been a change, but the way that they're managing this over the last several weeks has been very reasonable. So it has not played a role, in my judgment, in the AEP results.  It's been a little disruptive in that we've -- we the industry, had to provide some additional filings with our carrier partners and I know it's putting pressure on our carrier partners, but I don't believe it impacted the AEP, that's been more of a let's call it a compliance -- meeting of compliance requirements. But it hasn't affected the actual top of the funnel.  That could change in the future, but for this current AEP, it hasn't had any impact. And a conversation for another day in terms of the current process of whether or not it's really going to be a viable process in the long term. So I just want to establish, it has not affected what I think has -- in the case of eHealth, we turn the dials based on our capacity.  So if we don't have the capacity, meaning all of the agents available based on talk times and presenteeism, then we have to turn back the number of pieces of mail we're going to drop. So that's just as important. We don't want to drop more mail, for example, than we have the capacity to answer the calls. So let me stop there and ask Tim too.
Timothy Hannan: Yeah, no, I think that's exactly right. It has not created any change in behavior on our part or on the part of anyone in the industry so far. There was an administrative headache for our compliance teams to provide all of that information to CMS as rapidly as they needed to, but in terms of what's actually out there, nothing has changed and the changes on our side are driven by individual channel performance, moving money to where it performs best and out of where it performs worse, and then ceasing to acquire calls when our agents are occupied. And so those are the bigger drivers for us.
Daniel Grosslight: Got it. And then just in terms of Medicare advertising revenue this AEP, should we expect a decline versus last year?
Timothy Hannan: You mean the sponsorship revenue?
Daniel Grosslight: Yeah. The advertising revenue.
Timothy Hannan: You take that one, Christine?
Christine Janofsky: Yes. So thank you for the question. Yes, we would expect a year-over-year decline in our advertising revenue for the year, from prior year.
Daniel Grosslight: What's driving the decline in advertising revenue?
Christine Janofsky: So as we talked about with all the quality initiatives and that becoming really increasingly more important to the carriers and certainly to us. The carriers are rethinking their sponsorship program, and as such are readjusting the advertising revenue. So we've certainly seen a decline in third quarter. We anticipate a decline in fourth quarter as well, until all of those arrangements are finalized with the carriers next year.
Daniel Grosslight: Understood. Thanks for the color.
Christine Janofsky: Sure.
Operator: Our next question comes from Tobey Sommer with Truist Securities.
Tobey Sommer: Thanks. Wanted to get a -- ask a long term question of you -- volume of Medicare Advantage been growing high single-digit 10%, commission is 4%, 5% even more some years. Do you think that that is a reasonable rate, a long-term growth that could be sustained? And is there anything about your quality initiatives that you think would inhibit the Company's ability to grow at that rate or higher? Thanks.
Francis Soistman: Good morning Tobey, its Fran. Let me start and I'll ask our team to supplement my comments. I think in a perfect world we continue to grow at a very accelerated rate. However, I believe that what is really required here is a more balanced approach in our portfolio. I think that eHealth has grown at an accelerated rate and in large part at the expense of other lines of business.  And I think that again, my initial observations are we need to be more balanced. We have IFP, we've got ancillary lines, probably some additional new product lines in the future that -- don't ask me what they are because I don't know what they are. But I'm simply saying I want to make room for other products that fit in with the portfolio that perhaps would be well suited for online sales, which are our best economics and our highest LTVs and strongest cash flows.  So it's really not about growing for the sake of growing. It's growing deliberately and in getting the best financial outcomes to provide the greatest value to our shareholders. That's really what I'm focused.
Tobey Sommer: Okay. That's kind of what I'm getting at -- is with the quality initiatives and the sort of overhaul that is ongoing in the approach to the market. Does that require growing at a slower pace than the market for a period of time? And if so, maybe How long?
Francis Soistman: Well, I'm not sure it's going to be lower or about the same. It depends on what we can achieve from our other lines of business. Again, we're early in our process; one week. I've got the team doing some simulations right now. I wish I had a little more time before our first earnings call, I could be a little more specific in terms of answering your question, but what I can tell you is that the team's actually doing some simulations right now as we are working on our 2022 plans.  Because I do want to have a very deliberate strategy to take to our Board and with very specific recommendations on it, some course corrections that I think would be in our Company's and our shareholder's best interest.
Operator: Thank you. Our next question comes from Greg Peters with Raymond James.
Alex Bolton: Hi, good morning. This is Alex Bolton calling in for Greg Peters. Maybe switching -- I'm looking at Page 12 on your presentation. I'm seeing member turnover, I guess maybe can talk through maybe that number in Q3 versus your expectations. I know it's a little higher than maybe we expected. Obviously, the approved members are lower, but maybe you can talk through what your expectations for turnover are, and what they are going forward.
Francis Soistman: Good morning, Alex. Fran here. I'm going to ask Jonathan to -- Jonathan Wang is on the call as well. Jonathan you want to take this question?
Jonathan Wang: Yes. Happy to take that one, Fran. So in terms of the turnover, I think Q3 came in pretty much similar to our expectation. And as you know, most of the member turnover we really expect in the Q1 period which is post - AEP and into OEP period. So there's really not a lot happening in Q3 and Q4 as well. Of course we would expect similar pattern in  there's a slight decline in Q3, and then there's a slight decline in Q4 as well.
Alex Bolton: Okay. Thank you.
Operator: The next question comes from George Hill with Deutsche Bank.
George Hill: Yes. Good morning, guys. Thanks for taking the question, and Fran and Christine, welcome to the call. I guess this first one's for Fran and Christine. On conversion, we've talked a lot about your internal initiatives, but I guess can we talk about some of the externalities, particularly, I guess like we have to call it the  in CMS's response. And a lot of the chatter around what benefits could be added to or taken away from the Medicare Advantage benefit design?  I guess that Tim, I would ask, do you feel like you've seen the externalities impact conversion? And then my follow-up question would be, we've talked a little bit about churn in the last question, but we haven't had an update on the retention initiatives. I know there's been a lot of moving pieces over the last 3 to 4 months, but kind of any update on the retention initiatives will be great too. Thank you.
Francis Soistman: Good morning and thanks for the questions, 2 excellent questions. As far as the benefits, I would have to say that having been on the other side with -- on the carrier side, the richness of the benefits on the MA probably have reached a peak. They are incredibly rich, which I believe is impacting some of the switch rates. We'll see how that plays out for the balance of the AEP, but plans received a larger rate increase from CMS.  As the Trump administration was winding down. And for $0 premium plan, for example, that really creates stability. What normally with the rate adjustment is on the low-end plans have to make adjustments to the plan designs to the benefit designs in order to protect that $0 premium, which is so important to them.  And that creates disruption, volatility, because seniors, they don't like change. And I can say that because I became a senior in the last 30 days, so I can say that with authority. I've never seen the MA plans so rich, which creates even a wider gap between MAPD and original Medicare. So it's incredibly -- its incredible value proposition.  So I think it makes it even a more compelling opportunity for those in original Medicare to convert MAPD or even those with original Medicare and MedSup to convert. I think that's where the focus is, maybe a little less on switching. Let me -- before I take a second question, let me ask Tim to.
Timothy Hannan: Yeah. It sounded like a part of your question was also around the CMS and how that's changing behavior. And I think there's -- as I said before, it created an administrative headache in terms of uploading all the materials, but it hasn't really changed any behavior thus far. We're going fully against these quality initiatives.  We believe that it's really important to be the highest quality broker in this space. And we think that CMS will continue to be involved and that will be important -- an important distinguisher, and that there would be people who can't meet their standards going forward. Sorry, go ahead sir.
George Hill: Tim, I was just thinking about like the chatter about including dental and vision in hearing into the regular way Medicare benefits. Is that like slow conversions and do you guys see that as like -- does that slow the process of people who want to sign up for MA thinking -- will there be a change to the regular the way benefit? That's kind of how I was framing the question, that's how I was thinking about it.
Francis Soistman: Yeah, it’s Fran again; I think that was in part of the president's larger piece of legislation that still hasn't been passed yet. 
George Hill:  ability to convert. I'm sorry.
Francis Soistman: I think when they -- when the  became you're going to have to pay for it, people lost interest in it. When -- and that became part of the talk and then when the President came out, I think it was when he was in Baltimore at a town hall meeting, he then made a statement that, I'm paraphrasing, but something along the lines that dental wasn't in the cards for original Medicare.  And that was right at the beginning or like maybe a one-week into AEP, so it really hasn't affected. Your second question, again, I'm going to let Tim address this. But I can tell you that one of the big changes that were made was a special team of people that are focused exclusively on retention within eHealth. So I stole some of Tim's thunder. I'm going to shut up and let him talk about specifics on those initiatives.
Timothy Hannan: Yes. Yes. And I think, as you know, the effects of these changes that we've been making for more than a year-and-a-half is slow to reveal themselves in a lot of cases. So we remain just as focused and committed to it, as Fran said. We organized a membership team within the organization that brought pieces from different functions together to just redouble our efforts on retention.  But the most -- probably the most exciting retention effort from Q3 was the quality initiatives. Having our agents really deliver every part of the scripts, having the -- every enrollment go through a verification process while all of these things were onerous to conversion, and certainly drove the conversion rate down.  Both of the early data that we're seeing and the anecdotal feedback we're getting from carriers suggests that the enrollments we're delivering are of a higher-quality. So the post-sale efforts that we had been engaged in continue. The technology improvements internally to improve tracking are, I'd say, accelerating with accretion of that new team. But the most impactful change was the changes on the front end and how we set off during the quarter.
George Hill: Okay. That's helpful. Thanks, Tim.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back to management for any closing remarks.
Francis Soistman: I want to thank everyone for joining us this morning and on behalf of Christine and the management team, we look forward to working together over the next year. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect and have a wonderful day.